Operator: Good day, ladies and gentlemen, and welcome to Hancock Whitney Corporation’s Fourth Quarter 2019 Earnings Conference Call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] As a reminder, this call may be recorded. I would now like to introduce your host for today’s conference, Trisha Carlson, Investor Relations Manager. You may begin.
Trisha Voltz Carlson: Thank you and good morning. During today’s call, we may make forward-looking statements. We would like to remind everyone to review the Safe Harbor language that was published with yesterday’s release and presentation, and in the company’s most recent 10-K, including the risk and uncertainties identified therein. Hancock Whitney’s ability to accurately project results or predict the effects of future plans or strategies, or predict market or economic developments is inherently limited. We believe that the expectations reflected or implied by any forward-looking statements are based on reasonable assumptions, but our actual results and performance could differ materially from those set forth in our forward-looking statements. Hancock Whitney undertakes no obligation to update or revise any forward-looking statements. And you are cautioned not to place undue reliance on such forward-looking statements. In addition, some of the remarks this morning contain non-GAAP financial measures. You can find reconciliations to the most comparable GAAP measures in our earnings release and financial tables. The presentation slides included in our 8-K are also posted with the conference call webcast link on the Investor Relations website. We will reference some of these slides in today’s call. Participating in today’s call are John Hairston, President and CEO; Mike Achary, CFO; and Chris Ziluca, Chief Credit Officer. I will now turn the call over to John Hairston.
John Hairston: Thanks, Trisha, and happy New Year, everyone. We hope you had a healthy and enjoyable holiday season. As noted in our release yesterday, we completed 2019 on a positive note, surpassing expectations with solid results. Earnings excluding merger costs were $1.06, up 3% linked quarter. Our operating leverage increased quarter to quarter, and we reported loan growth in line with guidance, including a reduction in our energy portfolio of just over $70 million. Criticized loans decreased. NIM expanded and our capital levels remained strong, even with the share repurchases during quarter 4. For the year 2019, the story was similar. Earnings excluding merger costs were up. Operating leverage increased $24 million compared to 2018. Loans grew $1.2 billion. Criticized and nonperforming loans both declined year-over-year and our TCE ratio was up 43 basis points. As we began 2020, our team remains focused on building upon positive momentum and also capitalizing on available opportunities in our markets. Please refer to Slide 6 in the earnings deck to see a 5-year look back, indicating marked improvement the company has made through those years. We charted a new course in 2015 that was designed to return us to the profitability levels we had planned for. Challenging rate and credit environments cause us to reevaluate strategies and make appropriate adjustments. During the same time period, we benefitted from a growing U.S. economy and restarted acquisitions. We completed 5 transactions in the past 5 years that were financial in nature and accretive immediately to earnings. Along with a deliberate remix in lending growth, the transactions helped grow the company to over $30 billion in assets, and have strengthened our position in existing markets, and facilitated entry to new ones. Through it all, our capital has remained strong and we have managed it, we believe, in the best interest of our shareholders, through organic growth, increasing dividends, stock repurchases, and profitable mergers and acquisitions. Slide 7 addresses focus areas for 2019. With profitability back to peer levels and holding despite a falling rate environment, we worked vigorously to bring our margin and credit metrics back to or better than peer averages. We have made progress on both, actually moving above average on one. The top right chart on Slide 7 shows our NIM. In the first quarter of 2019, we achieved peer levels. Then for the past 3 quarters, we have actually reported a better-than-peer-average margin. While we can check the box on this one, we will not lose sight on what it takes to keep it there. The other 2 metrics are related to asset quality. We have made meaningful progress on both. But still have work to do, especially on nonperforming loans and TDRs. The gap to peers on criticized loans has diminished from 375 basis points in the first quarter of 2018 to only 44 basis points today, while the gap on NPLs has narrowed from 145 basis points to 72 basis points. Turning now to the future, as we do each January, we have updated our Corporate Strategic Objectives or CSOs found on Slide 22. Our CSOs are based on the results of our annual budget and multiyear business plan. That has not changed. With achieving the profitability metrics, we opted to take a more conventional approach to discussing longer term goals. Instead of specifying a particular target quarter 2 years out, we are sharing our expectations for a 3-year annualized outlook represented by the business plan. If interest rates change for the better or we find an acquisition like previous ones, we expect to accomplish the goals early. If the environment changes and presents more challenges, it could take us longer to achieve. Our CSOs are meant to convey where we believe the company is headed, based on our focus and outlook today, all designed to enhance shareholder value. In recent months, we fielded questions about the company’s technology readiness and scalability. Slide 23 in the investor deck provides a short description of where we are in multiyear technology investments. The company is both competitive and scalable already with additional improvements, specifically in sales technology, deploying over the next several quarters. With that, I will turn the call over to Mike for a few additional comments and details.
Michael Achary: Thanks, John. Good morning, everyone. EPS for the quarter was $1.03 and included nearly $4 million or $0.03 per share of the final merger costs related to the MidSouth acquisition. So EPS excluding those nonoperating expenses was a $1.06. For the year, EPS was $3.72 on a reported basis, but did include almost $33 million of MSL related merger costs. Excluding those costs, operating EPS for the year was $4.01. Loan growth for the company was in line within our guidance of mid-single-digit average growth year-over-year with the quarter coming in as expected. MidSouth did add $785 million of loans in the third quarter. However, we also saw a decrease in legacy energy loans of $164 million over the course of 2019. We expect to continue shrinking our energy book in 2020 and offsetting that reduction with more granular production across our footprint and in other specialty lines of business. We hit our energy concentration goal of below 5% during 2019 and with the de-emphasis on that type of lending we are updating our strategic goal to 2% to 4%, while there were no energy charge-offs this quarter, we do expect to see continued one-off type activity as we resolve our remaining problem loans from the energy cycle. We’re pleased to be back on track in resolving problem credits. Criticized loans were down $79 million from September 30 and after a blip last quarter related to MidSouth in the shared national credit exam. Nonperforming loans had a small uptick this quarter with an increase of $23 million. However, our year-over-year numbers did show improvement. Going forward, we expect to see continued improvement on an annual basis and our asset quality metrics, but do remind folks that the quarter-over-quarter progress will not always be linear. Our net interest margin was one of the bright spots for both the quarter and the year with expansion reported linked-quarter, same quarter a year ago and year-over-year. Proactive NIM management that included a focus on improving loan yields and reducing deposit costs were significant focus points in 2019 and will continue to be in 2020. Slide 15 details the NIM change quarter-over-quarter. As you can see the impact of MSL for a full quarter and the accretion related to that acquisition drove in 11 basis point expansion from last quarter. There were no interest recoveries this quarter and that coupled with the net impact of the recent Fed rate cuts were headwinds. The swap in funding from brokered CDs to home loan advances was a welcome tailwind, and altogether helped drive the overall 2 basis points of expansion for the quarter. Going forward, we do expect to see some runoff in our accretion levels from normal activity as well as reclass a part of our discount under CECL. However, given the portfolio management activities we noted earlier, we do expect our core NIM to remain relatively stable. Our NIM guidance does not include any additional rate cuts in 2020. The income was basically flat linked-quarter as the addition of a full quarter of MidSouth’s fees was offset by lower level of specialty income. For the year, however, fees were up $30 million partly driven by those specialty lines. Operating expenses were up linked-quarter as expected, a full quarter’s impact from MidSouth added $8 million and operating expense was about $3.5 million of that total related to personal expense. As noted earlier, all MSL related cost saves were achieved in the fourth quarter. As John noted earlier, capital remained strong with TCE ending the year at 8.45%. The decrease from third quarter was related to the stock buyback we announced in October. As a reminder, we entered into an agreement on October 21 to repurchase about 5 million shares of our common stock to an accelerated share repurchase program or ASR. On day one, we received 3.6 million shares which is included in our fourth quarter’s EPS calculation. We expect to receive the balance of shares by mid-year with the number of shares dependent on our stock price over that period. The ASR allows us to essentially buyback a similar number of shares as the number issued for the MidSouth acquisition, basically changing it from a stock to cash transaction and improving the profitability of a deal. And finally, Slide 22 includes forward guidance consisting of both our near-term outlook and longer-term goals for our CSOs. I’ll now turn the call back to John.
John Hairston: Thank you, Mike. And let’s open the call for questions.
Operator: [Operator Instructions] And our first question is from Catherine Mealor from KBW. Your line is now open.
Catherine Mealor: Thanks. Good morning.
John Hairston: Good morning.
Catherine Mealor: I’m wondering if you can just first start on the fee guide. You said that you believe fees will be up by about 2% to 3% next year, which I think is a little bit lower than what the Street had been modeling. Can you just talk a little bit through how you’re getting to that guidance and how we should think about the level of specialty fees that you’re including in that guidance versus what we saw in 2019? Thanks.
John Hairston: Sure, Catherine. And this is John and Mike might want to add some color when I’m done. The forward-looking guidance on fees presumes a very static rate environment, which typically is not beneficial for the specialty income. We assume the same thing this time last year. Then, of course, things didn’t work out that way and fees outperformed. So I think it would be fair to say that the guidance may be a little conservative depending on what the rate environment looks like. That flat rate environment also presumes very little refi mortgage income in it, which may also be a little conservative. So we try to be very honest in what we believe will happen in the coming quarters. And so, our assumptions are that the rate environment won’t be terribly helpful in fee income. That may prove to be conservative. Mike, you got anything else you want to add?
Michael Achary: Yeah, thank you, John. So again, the guidance of 2% to 3% on fees, I think the range there admittedly is on the conservative side. And I think we certainly have an opportunity to outperform that guidance. As John mentioned, if we look back, especially over the second half of 2019, really almost all of our fee income growth was in the specialty lines that John mentioned, so that’s things like BOLI, derivative fees, our venture capital fees, mortgage banking and syndication. We had absolutely excellent growth in performance in really all of those specialty lines the second half of 2019. And the assumption as we go into 2020 is that those fee income lines, while it certainly have the potential to repeat that performance, this is not something at this point we feel we can count on with complete confidence. So again, conservative assumption around the guidance and certainly an opportunity to outperform, I think.
Catherine Mealor: Okay. That’s helpful. And then, I appreciate the longer term CSO goals. As we think about this year, if we kind of piece some of your guidance together. We’ve got mid-single-digit growth with a fairly stable margin. And then, low-single-digit kind of fee growth, which maybe there is upside there. But – and then, that coupled with this higher 6% to 7% expense growth. It feels like this will be a hard year for you to show positive operating leverage and maybe that’s more of a 2021 event. Is that the way we should think about it or do you think there are ways to get positive operating leverage this year?
Michael Achary: Well, I think if we’re going to be in the conservative side, you’re probably right. But I also think we do have opportunities to outperform a bit. We talked about those opportunities in fee income. And certainly, I think we have that opportunity in spread income. The guidance that we’re giving around loan growth again is mid-single-digits. If the economy continues to perform well, we have an opportunity there to outperform. And then related to our NIM, we absolutely have some headwinds around accretion. Some of that is related to the accounting change related to CECL and some of that discount moving to the ACL. But as we mentioned in the guidance, we believe we have an excellent opportunity to have really good stability when it comes to our core NIM. You’ve seen our materials. I think we’ve done an excellent job with our remix focus. We can talk about that a little bit more later, but especially, on deposit cost. So those efforts around the things that helped us outperform in NIM this year absolutely will continue in 2020 and certainly gives us opportunities I think to show some positive operating leverage this year.
John Hairston: Catherine, this is John. The only thing I would add to that, since you brought up the expense number is, in the guidance we broke apart the, I guess, what you’d call normal inflationary increases of 2% to 2.5%, which would be indicative of the same type of expense management we’ve had the last several years. The increase in the overall expense number, take out MSL, which is easy to understand, the rest of that is purely offensive investment. That’s in bankers teams and technology investment, all geared to take advantage of what probably is the most sweeping market disruption we’ve had from our eastern border to our western border. So we believe this is a good year to invest aggressively and playing offensive ball. And the timing of doing that may lead to the expense load occurring before we get the benefit of the gains and so, some of that is timing. So when you say operating leverage improvement in 2021 may be better than 2020. We absolutely believe it will be good in 2021. And the timing of all that investment relative to benefit may lead to 2020 be a little bit more dampened. But that’s a positive. So looking at expense number, we would encourage you – don’t look at it as negative. It’s not. It’s a positive because of where we’re investing. What we expect the benefits to be going forward.
Catherine Mealor: Right. That’s super helpful. Thank you so much.
John Hairston: You bet. Thanks for the questions.
Operator: Thank you. Our next question is from Michael Rose from Raymond James. Your line is now open.
Michael Rose: Hey, thanks for taking my questions. Just wanted to go back to the expenses. I appreciate the Slide 23, talking about all the technology initiatives that you have planned. Is this a multiyear build-out, meaning should we expect additional incremental investment beyond 2020, into 2021 and 2022, outside of the 2% to 2.5% kind of inflationary expense growth that you guys will have every year? Just trying to size where you stand in terms of technology investments and then how long the investment period could be. Thanks.
John Hairston: Thanks for the question, Michael. This is John. No, you’d expect the expense growth in 2021 to playing down. We’re not prepared to give numeric guidance around that. But in terms of specifically the technology investments, this is more the wrapping up of a multiyear technology investment than the beginning. We’ve been doing this now for really about 5 years and aggressively the last 3 or 4, and heretofore, have been able to cover all those cost increases with operational synergies from within the company. The combination of doing that, plus the investments back in advantageous investments for market disruption, those pile up together to create the 6 to 7. But I would look more for our customary increases in 2021 over 2020 versus the little bit larger one in 2020. Is that clear?
Michael Rose: Okay, that’s helpful. So this is kind of the end of the investment process. Okay. That’s clear.
John Hairston: Well, you’d never say there is no investment, Michael, of course. But I think I would say it’s more normalized. And also, and just the dynamics, I don’t want to get too far in the weeds and complicate it. But a lot of the investment is in back-office automation to kind of finish what we did the last several years. So what will happen is the operational synergies that cover the bulk of that cost, remainder being revenue growth, to make it a very profitable venture. But those come in the late part of 2020 and 2021, just through reductions in some of the back office areas where that work just simply goes away and the elimination of the paper from branches and whatnot. So also out there, which we’re not prepared to give any detail around. But the investments in digital have been beneficial. The operatings and the adoption of usage of those for servicing transactions has dramatically increased and really did in 2019 over 2018. That will facilitate some additional redirection of expense dollars from brick-and-mortar to both digital and to analytics, used to create revenue. So I think I would look at this more as finishing what we began a few years ago than something new. We have already absorbed the bulk of all of our technology cost.
Michael Rose: It’s very helpful.
Michael Achary: Mike, this is Mike. As John mentioned, what we’ll see in 2021 is some of the benefits of the investments we’re making this year. That will help offset future investments and expenses.
Michael Rose: So the previous question about operating leverage, understood. One follow-up for me, just wanted to touch on asset quality. Energy clearly has been in the headlines over the past couple of months. Just wanted to get a sense from you guys. Where you think we are in the process of this kind of second cycle, the first being the 2014, 2015 downturn, couple of years of improvement and now some negative migration across the space now? Do you think this is kind of plays out over the course of the next year or are we kind of near the end of it at this point? Thanks.
John Hairston: Well, this is John. I’ll start and Chris can address AQ specifically. But there is really two ways to look at the – I’ll use your words, the second wave of energy. One is the impact on the balance sheet and the second is AQ specifically. And if we look at the balance sheet, we’ve been pretty steadily reducing energy balances altogether. And some of the color that we’ve given, and I don’t remember the slide numbers for energy, but it’s been a pretty healthy reduction in outstanding. And that’s going to continue. And while energy is a good business and specifically E&P has been more volatile. So as a result, while we continue to press down on that overall book of business, we’re being responsible and we’re taking care of core full relationship clients, but the non-core relationship paper will over the course of time continue to reduce. So we are doing no new energy work except with very core full relationship clients, we know a lot about. And so, when you noted in the guidance the 2% to 4% target versus the 5%, that’s the play there. So the impact of another cycle in energy will force those balances down. And some of the loan guidance that we gave for the year, not some, it includes all of the expected reductions, and energy offset by more granular, more spready lines of business. So hopefully that will address the balance sheet part. Chris, you want to talk about AQ specifically?
Christopher Ziluca: Yeah. I mean, from my perspective – we think that energy is going to continue to be an area of focus for us. And we don’t really anticipate any sort of bounce back an improvement in the sector. So as a result, all of our actions from an asset quality perspective are to continue to drive down more asset quality issues in the energy portfolio specifically.
John Hairston: This is John again. And the interesting phenomena in the last couple of quarters is when we bought some really impressive, I think, improvement in the criticized book, a lot of that was related to energy. And so the downward pressure has been almost uniquely, if not completely uniquely E&P, which we really didn’t expect to see particularly with the performance of crude prices and to a lesser extent, nat gas. And so, it’s certainly disappointing to even still we’re talking about energy. And that has proven to be somewhat less predictable as an industry. Therefore, doesn’t fit our desire to have less volatile earnings in the future. So for that reason, the energy book will continue to decline.
Michael Rose: That’s very helpful. Thank you guys for all the color [indiscernible]. Thank you very much. I appreciate it.
John Hairston: You bet.
Operator: Thank you. Our next question is from Brad Milsaps from Piper Sandler. Your line is now open.
Brad Milsaps: Hi, good morning, guys.
John Hairston: Good morning, Brad.
Brad Milsaps: I appreciate all the color and guidance. I just wanted to maybe delve into the NIM a little bit more your guidance around a stable core NIM. Just kind of curious to the moving parts there, particularly, do you think more of that stability is going to come from changes you’ll make in the balance sheet versus opportunities maybe on the deposit side, particularly in the context of, I think, it’s Slide 16, where you show new loan yields, I think, were down a fair amount linked-quarter due to some specials you’ve been running just kind of curious if those specials expired and might we see that maybe tick up a bit in coming quarters.
Michael Achary: Yeah. Specifically on that, Brad, some of that was some of the consumer and home equity related promotions that we’ve done. So we absolutely expect on a go forward basis for the yield on our new production to kind of bounce back. But to answer your question, I think, there are several areas that will help us with our efforts to keep our core NIM stable, if not have an opportunity to outperform a little bit. First will be certainly to continue the efforts around remixing our loan book and striving for production that’s more granular, down segment and having higher yields, so that’s absolutely will continue. And again, it’s been, I think, a bright spot in our efforts to manage our NIM in the past year or so. Second, deposit rates. In that slide in the deck, it shows a monthly breakout of our cost of deposits. And you can see there, I think, we’ve had pretty good success in being pretty proactive in reducing our deposit rates with really very little in the way of customer pushback. So those efforts will absolutely continue even in the phase of what we believe will be a flat rate environment. Kind of aiding our deposit cost of bit is that we have a pretty good quantity of CD maturities, especially in the first half of 2020, a little bit less than $2 billion that will be coming off at a little bit less than 2%. So the reinvestment of those CDs at a significantly lower rate will obviously be helpful. And then thirdly, managing the balance sheet. I think we, again, as I mentioned, have opportunities to maybe outperform our loan growth guidance a bit. But we also have opportunities to potentially look at doing some restructuring in our bond portfolio. I’m not ready to talk about any of that – any degree of detail right now. But those are certainly things that if you were able to execute on will certainly be helpful to the overall efforts. Does that make sense?
Brad Milsaps: Great. Yeah. That’s helpful. And then just kind of one follow-up housekeeping question on the expenses. Is the right starting point with the guidance versus 2019, is it the $737 million kind of core expense number that you guys disclosed in the release?
Michael Achary: That’s correct. So that $737 million excludes about $33 million of merger cost related to MSL.
Brad Milsaps: Would it be fair to say that your guidance you’ve maybe gone with sort of worst-case scenario for fee revenues and maybe worst case for expenses, you’re kind of conservative in both regards?
Michael Achary: Well, as we kind of mentioned in some of the early discussion around fees. We do think that’s conservative in the guidance that we’ve given. On the expense side, the 6% to 7% or so, I think, there’s an opportunity to come in maybe on the lower end of that range. But those are the levels that we believe will occur over the course of 2020. We have again a pretty modest increase in base expenses, some 2% and then the MSL annualization that adds another 3% or so. And then the technology as well as the investments related to market disruption kind of rounds out the numbers.
John Hairston: Yeah, Brad. This is John. I think the only comment, just using that phrase worst case on the expense number. I mentioned earlier, a lot of offensive spend in that. So I wouldn’t want to beat the number, because we were unable to higher the number of bankers we expect to hire. And those bankers are targeted at the more granular parts of our business that we now, I think, we’re kind of coming into our own in terms of being able to grow those areas. And so, I don’t want to say, I wanted expenses to be high, but I do want to make those investments and see those returns to create value down the road.
Michael Achary: Yeah. I don’t think we’re going to shy about spending money to take advantage of those market disruption…
John Hairston: Not at all. I think, it’s a good time to do it.
Michael Achary: Yeah. It’s a little bit of once in a lifetime opportunity with that much disruption happening in the markets that we serve. And again, as we talked about many time that something we’re looking to enhance those opportunities around.
John Hairston: This is John. It’s also somewhat exacerbated by the fact that the very, very large organizations in some of our markets are not as focused at those – in those markets as we are. And so the sum of all of that opportunity is why we believe it’s a good time to invest in all things that win the hearts and minds of prospective clients, and so we’re pretty aggressive there.
Brad Milsaps: Thank you, guys. I really appreciate it.
John Hairston: Sure. You bet.
Operator: Thank you. Our next question is from Casey Haire from Jefferies. Your line is now open.
Casey Haire: Thanks. Good morning, guys. Wanted to touch on expenses again, just the 6% to 7%. Can you guys provide like a breakdown between the 3 components, MSL, tech and then the disruption opportunities. How much per each is driving the core – driving it from that core inflation of 2% to 2.5%, to 6% to 7%? And then do you guys have – is there any expectation that the disruptions that you’re seeing could contribute to 2020? Or would that be gravy versus your guidance?
Michael Achary: Casey, this is Mike. I’ll start with kind of the buildup of the 6.5%. And as we mentioned, I think, a little while ago, kind of looking first at the base increase related to expenses around [2%] [ph] and then the annualization of the MSL expenses will add year-to-year another 3%, and then the tech/market disruption expenditures 1% to 1.5%. So that’s now we get to the 6.5% or so.
Casey Haire: Okay. Great. And then, like, so on the disruption side, I know, you mentioned the tech will produce revenues this year. Are you assuming any – like, is the mid-single-digit loan growth guide, is that assume that you do get some business from some of these assumed tires this year?
Michael Achary: Well, first off, I don’t think, there is any revenue this year associated with the technology spend. The benefit related to that will come in 2021 around some expense offsets. But to answer your question about the market disruption, the loan growth guidance that we’ve given of mid-single-digits does not include any benefits related to market disruption at this point.
Casey Haire: Got you.
John Hairston: We’re pretty far down in the weeds on that, but I’ll share the timing of the investment, the rollout schedule some of the utilities we’ve been working on for some times is loaded towards granular lending in the first half of the year. So presuming that, that is a successful mid-year rollout. And we’re timing the addition of the additional bankers to follow that pretty quickly. If we hit out of the gate pretty quickly on that, then we may see some benefit in 2020, but we’re not counting on that for the guidance that we’re giving. And if we outperform, great, if it takes a little longer, then it will be little more than 2021. But I know, you’re working on the pro forma there, but the timing is kind of hard to predict this many quarters away from the hires who’s available and when they come on and what the cost is. So we’re doing our best to kind of give a direction of where we expect to invest this year. And what we think the impact of that will be is expressed to the CSOs. And if we get there earlier, maybe we’ll outperform the CSOs in terms of timing, and but that’s our intended direction.
Casey Haire: Okay. And just switching to sort of the NII front, the – I think, most of us are thinking just grow the balance sheet in line with loans. You guys do have a strong liquidity profile. Is the expectation that you guys dip into that a little bit and we saw some positive mix shifts on the funding side with the brokered deposits. I guess, basically, I’m trying to get that average earning assets, does that just track loan growth? Or does it lag it, if you guys dip into your liquidity profile?
Michael Achary: I think a little bit of a combination of both. So you can assume that for all practical purposes, the bond portfolio will stay pretty static at around $6.2 billion. On the liquidity side, certainly, we have opportunities, I think, to again move our loan-to-deposit ratio up a little bit and offset some of that with earning asset growth. But we have a lot of levers and a lot of different avenues of flexibility in terms of how we manage the balance sheet. And rest assured that we’re going to do that in a way that helps us maximize NIM as well as net interest income.
Casey Haire: Got you. Last one for me just on CECL sort of the day 2 provisioning. Your first quarter guide for provision, you’re basically saying it will be flat versus the fourth quarter here at $9 million on a similar expectation for loan growth pace. Is that what you’re – it doesn’t – it seems like it’s a business as usual and there’s not much of an impact from CECL day 2 provisioning. Is that the way to look at it?
Michael Achary: Yeah. I think for the next couple of quarters that certainly the case. The provisioning will continue to be impacted by charge-offs, loan growth and things of that nature, as it’s always been. Certainly, the kind of loan growth that we have will be important from a CECL perspective both in terms of loss expectations going forward, but also duration. So those are all things that as we move through the CECL world will impact the provisioning. The other thing that’s out there, too, is the assumptions around kind of the macroeconomic environment. Right now, that’s fairly benign, but at some point down the road of that change is that certainly will have impact to CECL in the form of what our provisioning is. But for the next couple of quarters, I think, it really is kind of as we just described or less.
Casey Haire: Okay. Great. Just one more if I could. The core NIM relatively stable, is that versus the fourth quarter here at 3.29%? Or is that versus 2019 overall?
Michael Achary: We’re talking about it, I mean, relative stability from the fourth quarter on with some potential for a little bit of expansion.
Casey Haire: Great. Thank you.
Michael Achary: You’re welcome.
Operator: Thank you. Our next question is from Matt Olney from Stephens, Inc. Your line is now open.
Matt Olney: Hey, thanks. Good morning, guys. I want to follow-up on the loan growth commentary and guidance of mid-single-digits. If I look at 2019 and strip our MidSouth, I think, the organic growth was closer to around 2%? So can you give us some more details on which loan categories you expect to drive the 2020 growth? And John, I think, you’ve mentioned more granular lending, can you tell us more specifically kind of what’s behind these new loans?
John Hairston: So you’re essentially talking about puts and takes on a loan growth 2020 over 2019?
Matt Olney: Right.
John Hairston: Did I hear you right?
Matt Olney: Right.
John Hairston: Sure. Well, let’s talk about what the apps are first. We already mentioned energy, I won’t go any further than that. That’s going to be a declining one. I think, indirect lending is part of consumer will decline for the year, I mean, the risk adjusted yields are just not as attractive and the captives are – they’re financing add-ons at the right, that we just don’t believe the risk-adjusted yield is on the upside perhaps upside right now. So we’ll diminish indirect. I think, CRE was a big paydown quarter for Q4, in fact. I think, we had about $200 million of paydowns, which is a much bigger number in Q4 down than we expected, and that offset some of the growth we anticipated. But the granular part of the quarter was actually solid and it was about consistent with quarter 3. So I think, we’ll continue to see commercial banking, business banking, CRE, even though it’s a big paydown in Q4, I think, it will be a good growth story for the year. And then across our markets particularly in the back half of the year as the disruption begins to begin and we see advantages from the investments we’re making. We should see some good commercial banking and perhaps middle market. So I think, energy and indirect is headed downward and really everything else will be headed up for the year.
Matt Olney: Okay. That’s helpful. And then, I guess, Mike, on the margin outlook. The commentary around the guidance around lower accretion levels from the reclass to ACO. Can you put a range on this reclass or help us kind of size it up for our models as we transition into CECL for 1Q 2020, and then the pace of that runoff throughout 2020?
Michael Achary: Yeah. So for the amount of accretion runoff related to the reclass, it’s around $3.5 million or so for the year. There is a little bit more of that, that will occur in the first quarter. And then from that point on the accretion level should even out a little bit.
Matt Olney: Okay. And then, I think, last question for me on the CSOs. I appreciate the update there. And appreciate this more of a 3-year update. And you gave us the ROA, TCE and ROTCE, but we didn’t see the EPS that we’ve seen in previous CSOs. Any color on why the decision not to include EPS this time?
John Hairston: I think, we’re just trying to approach it from a little bit more of a macro point of view, Matt. And certainly, I think, we’ve given enough information that you can probably imply an EPS range to those numbers. But again, because the CSOs are now in the context with more 3-year targets, the challenges around kind of projecting that from an EPS perspective, we thought it was better served by substituting in ROA.
Matt Olney: Okay. That makes sense. Thank you.
John Hairston: You bet.
Operator: Thank you. Our next question is from Ebrahim Poonawala from BofA Securities. Your line is now open.
Ebrahim Poonawala: Good morning, guys.
John Hairston: Good morning.
Ebrahim Poonawala: Just, I guess, one question. Given – you’ve mentioned multiple times in terms of taking advantage of the market dislocations that’s happening because of M&A. Does that suggest that you don’t see Hancock being a participant in any kind of a larger deal and we should expect another year where we could see a MidSouth type deal as the most likely path on M&A? Is that a fair conclusion?
Michael Achary: Yeah. I think, absolutely, it’s fair. So from an M&A perspective, at least, for the next year or 2, I think, what you can expect from us is the kind of transactions we’ve done in the last 2 or 3 years. So things of the nature of First NBC and MidSouth, we think make sense for us. Add on to that the opportunities we have from market disruption and that will really be our stance, I think, for the next year or 2.
Ebrahim Poonawala: That’s helpful. And just in terms of the buyback, so Mike, I think, you mentioned about $1.5 million of shares as part of ASR which come in, in the second quarter. Could you in the meantime, be – are you able to buy additional stock in the open market and do you want to buy more stock? Just remind us in terms of the TCE levels where you want to maintain and operate the bank yet and how we should about any additional buybacks?
Michael Achary: Sure. So related to TCE, you see the number that the – we came in at [12.31] [ph], probably a little bit stronger than we had projected. So we’re good as far as TCE and that not being a challenge or an implement toward any future buybacks. So as we said before, we’re focused on kind of completing the ASR that should happen, really no later than the end of the second quarter. At that point, we’ll get back presumably somewhere between 1 million and 1.5 million shares. We still have authority remaining. And the ASR does not preclude us from buying stock back on our own, while the ASR is still happening. So those will be decision that we’ll look at and certainly consider the benefits of doing that on a go-forward basis. But I think without a doubt, our intent at this point is to focus on completing the ASR, and second half, looking at potentially buying back additional shares.
Ebrahim Poonawala: That’s helpful. And just one last question, I’m not sure. So you’ve talked about your loan growth, but would love to hear, John, any color around just what you’re seeing in the markets in terms of, we’ve got the state deal done this week? Is business sentiment getting better or like should we expect potential for upside surprise as things move along or do you expect things to remain a little more cautious, given this upcoming elections later this year, and if you’re seeing any difference across your markets around growth appetite?
John Hairston: It’s a great question. We haven’t really seen any change in sentiment quarter-over-quarter. We are mindful that it is an election year and there is a fair amount of disparity and the platforms that could lead to some concern from those business leaders who are in the investment business. And so if they begin to have some degree of concern as we get closer to November that it may be a less beneficial environment in 2021 and beyond for their industries. And that could curtail investment appetite, which would have a direct impact on loan growth. So no change in sentiment now really at all. It really hasn’t had any impact. And if anything, sentiment is, maybe slightly more positive, simply because that momentary couple of quarters, where there was a lot of hand wringing about a recession seems to have died down a good bit and I think we’re sort of back to normal. So overall, our marketplace, I think, sentiment would be considered positive.
Ebrahim Poonawala: Got it. Thanks for taking my questions.
John Hairston: Sure. Thank you for asking.
Operator: Thank you. Our next question is from Jennifer Demba from SunTrust. Your line is now open.
Jennifer Demba: Thank you. Good morning.
John Hairston: Good morning.
Jennifer Demba: Question on the hiring opportunities with market disruption. Sounds like you want to – biased at more towards your legacy market, I’m guessing, Louisiana and Mississippi. And how many hires do you have in the budget for 2020, given the guidance, the expense guidance you gave?
John Hairston: Well, first question on where, the disruption is really not limited to the core. It’s really spread across our whole footprint. And as you may remember, we have our healthcare practice out of Nashville, where Tennessee is beginning to look a little bit more promising as well. So it’s really more franchise-wide opportunities. In terms of numbers of bankers, it changes a little bit based on where we find opportunity, so if it’s in the very granular areas, in business banking and commercial banking. The number may be a little bit higher. And if it’s more in middle market, banking could be a little lower. So we have an assumption that I really wouldn’t want to share across, with the public. But it would be the largest number of bankers we have hired for 2020 in any single year in the past 5 or 6. So a little bit more substantial hiring than we’ve had in the past.
Jennifer Demba: Okay. That’s helpful. And, Mike, you mentioned earlier in the call, you are considering restructuring the balance sheet. Do you have any details you can share right now as to what you might be considering?
Michael Achary: The comment was related to the bond portfolio and again, not prepared to share anything related to that. All I think I was doing is stating that as an opportunity at some point later in the year.
Jennifer Demba: Okay. Last question, based on the comments earlier in the call, sounds like you feel like your fee income guide is fairly conservative. Are there any parts – are there any other parts of your guidance you feel are on the conservative side or conversely you feel like have more opportunity for missing in this environment right now?
Michael Achary: I don’t think so. I will add again that related to the market disruption opportunities, there is really no revenue or balance sheet growth built into the plan related to that. So should some of those investments begin to yield positive results, then certainly that’s upside to the guidance.
Jennifer Demba: Thanks so much.
Michael Achary: You bet. Thank you.
Operator: Thank you. Our next question is from Christopher Marinac from Janney Montgomery. Your line is now open.
Christopher Marinac: Thanks. Good morning. Just a quick one on the loan yield that you mentioned in the presentation last night. So when we look at the real change here, it is somewhat little bit worse than just the rates in the last quarter. But I’m curious if that is a onetime trend, Michael, or will that sort of continue to be an issue. This is just the new loan yield drop that changed so much in the last 2 quarters?
John Hairston: Chris, you’re talking about the Slide 16 of the deck, around new production yield. I’ll give you a little color. This is John. Mike can add if he likes. That number is the average of the new business the day we initiate the transaction. And if you look at the rate curve throughout – not the rate curve – but the actual LIBOR rates, between October, November, December, they slide precipitously, by the time we got to December, and cyclically – and this was even more pronounced in this particular year’s fourth quarter – our production was heavily influenced toward December. And so the timestamp in the December LIBOR numbers dragged the computed number down to that 4.35. That was exacerbated by better than expected – which is a good thing – better than expected equity line production business, which 4Q was usually not a big quarter for us, but this time it was. And the teaser rates that those lines come on to prescriptively adjust in month 6. And so the number looks like a much lower number. But a lot of that was due to timing and mix. And so, there was also a new market tax credit component to that, that we enjoyed the benefit of on the taxes side. But that also put the number a little lower. So I wouldn’t call it normal. But it’s really tough to predict what LIBOR is going to be on the day we put a loan on the books and that can have an impact sometime on the total. I don’t know if that color was helpful for you. But that’s really how the number got to what it was.
Michael Achary: The only thing I would add is that, we do expect that number to improve as we go through 2020.
Christopher Marinac: Okay. That’s super, guys. Thank you very much for the additional color here.
Operator: Thank you. Our next question is from Will Curtiss from Hovde Group. Your line is now open.
Will Curtiss: Hey, good morning, everyone.
John Hairston: Hi, Will.
Will Curtiss: One is that just – I mean, you’ve addressed I think everything else. But just somewhat curious kind of modeling question, in terms of the merger related expenses of 3.9. Are you able to provide a little bit of break out in terms of where in expenses we can back those out of? Thanks.
John Hairston: It’s a variety of different categories. Some of that is personnel and other expense as well. And, again, that’s kind of our final merger cost related to MSL. The total was some $33 million.
Will Curtiss: Okay. And I know it’s not as pronounced as last quarter. But in terms of how to break that out, is there any additional color you can provide in terms of where the majority of…
John Hairston: Yeah, I think I just share that between personnel and other expense.
Will Curtiss: Okay, all right, thanks.
John Hairston: You bet.
Operator: Thank you. At this time, I’m showing no further questions. I would like to turn the call back over to John Hairston for closing remarks.
John Hairston: Okay. Thanks, everyone, for some very good constructive questions. We look forward to seeing you on the road sometime soon. Have a great day.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.